Operator: My name is David, and I will be your conference facilitator this afternoon. This conference is being recorded. At this time, I would like to welcome everyone to the Fortive Corporation's Third Quarter 2016 Earnings Results Conference Call. [Operator Instructions] I would now like to turn the call over to Ms. Lisa Curran, Vice President of Investor Relations. Ms. Curran, you may begin your conference. 
Lisa Curran: Thank you, David. Good afternoon, everyone, and thank you for joining us on the call. With us today are Jim Lico, our President and Chief Executive Officer; and Chuck McLaughlin, our Senior Vice President and Chief Financial Officer.
 We present certain non-GAAP financial measures on today's call. Information required by SEC Regulation G related to these non-GAAP financial measures are available on the Investors section of our website, www.fortive.com, under the heading Financial Information. 
 I would like to highlight that we have posted updated supplemental financial data to our investor website to reflect immaterial corrections to the carveout allocations of revenue, gross margins and SG&A in the third and fourth quarters of 2015.
 A replay of the webcast will be archived on the Investors section of our website later today under the heading Events & Presentations, and will remain archived until our next quarterly call. A replay of the conference call will be available shortly after the conclusion of this call until Thursday, November 3, 2016. Once available, the link to this conference call will -- call replay rather will be posted under the Investors section of Fortive's website under Events & Presentations. 
 During the presentation, we will describe certain of the more significant factors that impacted year-over-year performance. The supplemental materials describe additional factors that impacted year-over-year performance. Unless otherwise noted, all references in these remarks and supplemental materials to company-specific financial metrics relate to the third quarter of 2016, and all references to period-to-period increases or decreases and financial metrics are year-over-year.
 During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we believe or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set forth in our SEC filings, and actual results might differ materially from any forward-looking statements that we make today. These forward-looking statements speak only as of the date they are made, and we do not assume any obligation to update any forward-looking statements.
 With that, I'd like to turn the call over to Jim. 
James Lico: Thanks, Lisa, and good afternoon, everyone. We're very pleased with our performance this quarter. Our results reflect the strength and diversity of our portfolio and our team's impressive execution to deliver solid core revenue growth, outstanding margin expansion, free cash flow, well in excess of net income; and earnings outperformance. The Fortive Business System is the driving force behind our performance and is the cornerstone of both Fortive's culture and operating model.
 We recently held the first-ever Fortive CEO kaizen, focused on our key shareholder and customer-facing metrics of quality, delivery, cost and innovation. Kaizen means continuous improvement and our kaizen events are one of the many ways we commit to this Fortive value as our way of life. What makes the CEO kaizen unique is that more than 50 of our top leaders across the company go shoulder to shoulder with our front-line operators this year at 4 selected sites to attack our highest priority initiatives. 
 The CEO kaizen was an exciting milestone for me personally, and I'm energized by the breakthroughs and amazing results achieved during this event. With the launch of Fortive, we have a great opportunity to deepen our dedication to the Fortive Business System and show the power of 24,000 people devoted to our purpose of providing essential technology for the people who create, implement and accelerate progress.
 With that, I would like to turn to the quarter for a more detailed discussion of our results. The following information reflects year-over-year increases or decreases relative to the updated supplemental financial data that Lisa described at the top of the call. 
 Adjusted net earnings of $233.1 million were up 22.2% over the prior year. Sales grew 2.8% to $1.6 billion, with core revenue increase of 2.7%. Acquisitions contributed approximately 60 basis points of growth over the prior year, which was partially offset by approximately 50 basis points of currency. 
 Geographically, solid performance in high-growth markets drove revenues up mid-single digits, and developed markets improved to low single-digit growth. The high-growth market results were primarily driven by India and double-digit growth in China, partially offset by weakness in Latin America where we realized a double-digit decline, given continued challenging market conditions.
 In developed markets, we saw low single-digit growth in North America, primarily driven by the strength of EMV-related demand for our Gilbarco offerings and strong growth at Matco and Qualitrol, and mid-single-digit growth in Western Europe. We expect the Western Europe growth to moderate in the fourth quarter.
 The power of the Fortive Business System was clearly demonstrated with outstanding margin expansion. We were very pleased that 4 out of our 6 platforms had both growth and operating margin expansion in the quarter. Gross margins expanded 30 basis points to 49.3%. Operating margins of 20.6% were up 140 basis points versus the prior year, with core adjusted operating margin expansion of 150 basis points. The strong margin expansion represents above-average incremental fall-through of approximately 75%, reflecting favorable mix and sales growth weighted towards the end of the quarter.
 During the third quarter, we generated $300 million of free cash flow, up 50% over the prior year and delivered an outstanding conversion ratio of 134%. Cash generation was unusually strong this quarter in part due to the timing of interest in tax payments. For the full year, we continue to expect free cash flow conversion to be above 100%. 
 Our M&A funnel continues to expand, and I remain confident regarding the growth opportunities presented, given the size and diversity of our pipeline. During the quarter, we closed 2 important bolt-on acquisitions for approximately $200 million that accelerates several of our key strategic initiatives, which I will talk a little bit more about later. We expect to remain active on the deal front, with a continued disciplined focus on accelerating growth and returns through our M&A strategy. The adjusted effective tax rate in the third quarter improved to 27.6% versus our previous outlook of 30%. We expect our adjusted rate going forward to be approximately 28%.
 Turning to our segments. We were pleased to see improved performance in Professional Instrumentation, with revenue up slightly, reflecting 70 basis points of core growth, partially offset by 40 basis points of currency and 10 basis points from the impact of acquisitions in the separation. 
 Reported operating profit margin increased to 22.3%, and core operating margins were up 110 basis points for the quarter, primarily reflecting a favorable business mix to prior year as well as successful price and productivity initiatives. During the quarter, Professional Instrumentation realized approximately 40 basis points of favorable price.
 Advanced Instrumentation and Solutions core revenue increased low single digits, led by demand for test applications and connected equipment monitoring solutions. In field solutions, core revenues were up low single digits, led by mid-single-digit growth at Qualitrol and low single-digit growth at Fluke, reflecting good demand for handheld industrial products as well as our thermography and network offerings. 
 Fluke delivered mid-single-digit growth in both Western Europe and China. This strong growth was partially offset by continued weakness in certain North American end markets. Fluke continued to demonstrate the strength of innovation through numerous awards, including 2 Electrical Construction and Maintenance Magazine Product of the Year awards for Fluke Connected assets in the software maintenance management category and for Fluke TiX560 in the cameras and imaging equipment category. 
 During our last earnings call, I highlighted our Fluke Connect, Condition Monitoring System as an example of customer-led innovation. I'm excited to report that the reception to this new product offering has been outstanding. This product is an important step in our connected device strategy, which was recently accelerated via the acquisition of eMaint Enterprises, a global leader in SaaS-based computer -- computerized maintenance management software. 
 The combination of Fluke Connect toolbox with eMaint's SaaS offering will allow for increased asset uptime via the seamless integration of maintenance devices data and systems. Fluke and eMaint have joined forces to usher in a new era of connectivity and are set to deliver groundbreaking asset reliability platforms for multi-industrial customers around the world. 
 Qualitrol's mid-single-digit growth was primarily driven by the high-growth markets, where we saw solid asset protection growth and market share gains, driven by the refinement of our go-to-market strategy. This quarter marked Qualitrol's 10th consecutive quarter of positive core growth, and we're excited about our position in this important condition-based monitoring sector. 
 In Product Realization, core revenues were slightly up, led by double-digit growth in our PacSci EMC business. The stronger-than-normal EMC growth reflected the timing of several projects that you will recall moved out of last quarter. Year-to-date, EMC delivered mid-single-digit core revenue growth.
 As expected, Tektronix core revenues declined low single digits and improved sequentially, reflecting sales improvements in nearly all regions and a return to positive growth in our high-growth markets. Tektronix is now our largest business in China, and it continued to outperform in the region by recognizing double-digit growth, given strong demand for our solutions, geared for new wafer technology in the semiconductor industry and data center applications.
 By leveraging our FBS growth and innovation tools, we've been able to upgrade our 70-gigahertz real-time oscilloscope with advanced software to target data centers where high-quality -- very high-quality signal measurements are critical to ensure data center uptime and performance.
 Our Sensing Technologies platform saw a low single-digit core revenue decline in the quarter, as declines in our control product lines were partially offset by solid growth in our sensing businesses, which was driven by exposure to the medical and food and beverage verticals. We were pleased to be awarded a multi-year contract with NAVSEA to supply electrical products to the U.S. Navy, with the potential to realize approximately $300 million -- $3 million in revenue over the next 12 months.
 Moving to our Industrial Technologies segment. We realized reported growth of 5.1%, with core revenue growth of 4.7% in the quarter. Acquisitions contributed 90 basis points of growth over prior year, which was offset by approximately 50 basis points of currency. 
 Reported operating profit margin increased to 21.4%, and core operating margins were up 230 basis points for the quarter, primarily reflecting strong volume growth, productivity as well as material cost and supply chain improvements. 
 Our Transportation Technologies platform saw high single-digit growth in the quarter, with Gilbarco Veeder-Root delivering its fifth consecutive quarter of high single-digit core revenue growth, driven by our best-in-class retail fueling portfolio. At Gilbarco, we're starting to see a deceleration in EMV-related demand for indoor point-of-sale solutions as the liability transfer occurred in October 2015. However, demand associated with the pending outdoor liability shift in the U.S. has increased for both dispenser and EMV payment kits. While we are in the early innings, growth is weighted towards kits this quarter. 
 On the innovation front, Gilbarco recently released contactless and 2D barcode scanner options on FlexPay IV, our market-leading EMV payment platform. 
 We are winning not just in the U.S. but in other international markets as well. Our new PCI 4 payment platform continues to gain traction in the market since its launch in Q2, securing our market-leading position, which helped us to close a multimillion dollar 5-year contract with a leading major oil retailer in Italy.
 Telematics realized core growth of low single digits in the quarter, reflecting strong international growth. The recent launch of our new SaaS platform called Director has been well received, and the installed base transition will take approximately 18 to 24 months to complete.
 In keeping with our Transportation Technologies platform evolution from retail fueling to smart transportation, we closed the acquisition of Global Traffic Technologies or GTT and entered an attractive market adjacency with mid-single-digit or better growth characteristics. GTT has a market-leading position in traffic management systems and delivers advanced transportation solutions to help emergency, transit and traffic personnel increase safety and minimize traffic congestion, while maximizing resource efficiency and performance.
 Moving to Automation & Specialty components. The platform was slightly down for the quarter as double-digit growth in high-growth markets was mostly offset by weakness at Jacobs Vehicle Systems. JVS saw strong growth in China, offset by continued weakness in the North American truck market. 
 The automation businesses of Kollmorgen and Thomson grew low single digits. This was the second consecutive quarter for positive growth at Kollmorgen, reflecting performance in high-growth markets and collaborative robotics and return to growth for Thomson, which was primarily driven by strength in their distribution channel and medical equipment sales growth.
 Continued investment and innovation, including robotics, is driving key market share gains as we continue to outperform the market globally. Our Franchise Distribution platform posted mid-single-digit growth. Once again, Matco grew revenue at high single-digit rate as we continue to gain share via both same-store sales and franchisee adds.
 Hard-line and power tool sales growth was driven by demand generated at our second-largest sales meeting of the year. Matco's mid-single-digit or better core revenue growth record is now at 25 out of the last 27 quarters. We are very proud that Matco is ranked as #27 of the fastest-growing franchisees by an entrepreneur magazine.
 To summarize, we are very pleased with the quarter. We allocated capital, launched new products, gained market share and realized operating efficiencies across our businesses to deliver great results. We're initiating our fourth quarter adjusted diluted net EPS guidance of $0.63 to $0.67, which includes assumptions for low single-digit core revenue growth and incremental growth investments and restructuring. For the second half of 2016, we are increasing our adjusted diluted net EPS guidance to $1.30 to $1.34.
 The third quarter of 2016 was a great example of the strength of our portfolio through the cycle. How FBS drives growth -- both growth and cost efficiencies and how accelerated revenue growth of high-margin businesses translates to strong operating margin expansion that delivers free cash flow for organic and inorganic investments and superior shareholder returns. 
Lisa Curran: Thanks, Jim. That concludes our formal comments. David, we are now ready for questions. 
Operator: [Operator Instructions] We'll take our first question from Scott Davis from Barclays. 
Scott Davis: I got a bunch of questions, but I'm just trying to figure out -- I always thought Fluke as being a bit of a canary in a coal mine from a macro perspective. And A, tell me whether you agree with that? But B, do you get a sense that we've seen a bottom in the industrial macro? It sounds like emerging markets perked up for sure or -- but the U.S. hasn't come back yet. So maybe just a little bit of color on Fluke specifically and what you see there. 
James Lico: Yes, I think -- first to your question. I do think that the purdue [ph]  of the Fluke industrial business is probably more the canary in a coal mine, to use the metaphor. I think if you looked at Fluke just -- we were very happy about the performance. The Fluke industrial business had a good quarter. We mentioned in the prepared remarks that Western Europe and China was very good. But I think on balance, what we saw in the quarter was stability and a little bit of improvement through some of the product innovations that are going on at Fluke. We talked about Fluke Connect and some of that is helpful, some other products that they've launched here this year. So I think on balance, we've said stabilization. We saw a little bit of a pickup at Fluke as we said, and we think that, that should continue. It's really not around easier comps, so this is -- we do think is really a little bit of improvement here. 
Scott Davis: Okay. That's... 
James Lico: And maybe, one other -- Scott, maybe just to finish that thought, I'm sorry. The other thing we look at is the point-of-sale information. Obviously, with the number of publicly traded distributors that you know well, we saw a little bit of improvement in point-of-sale through the quarter. 
Scott Davis: Okay, that's helpful. And then I was surprised when I -- you guys have actually done a fair amount of transactions this quarter. Most of them are really too small to do a release on, but -- and you talked a bit about GTT, which something I don't really know anything about. But how do you think about -- I mean, given the size of Fortive, can you -- the balance between the smaller deals -- I mean, some companies say, "Hey, the small deals take just so much time and you don't get as much bang for your buck." But other companies say, "Hey, that's where the valuation and values make the most sense." So when you guys looked at your opportunity set at transactions, how do you think about the pros and cons of the 2 different ways to think about it? 
James Lico: Well, I think -- Chuck and I -- I think we are really pleased with the diversity of the pipeline right now. And as you mentioned, the -- we're really excited about bringing on eMaint and GTT into the portfolio, into the Fortive family this quarter. They're great additions to our strategy around positioning our businesses around secular trends. In the case of eMaint, really around SaaS-based business, it's a 100% SaaS business. In the case of GTT, we're really reframing Transportation Technologies around some of the new trends in urbanization and safety because of traffic congestion. So I think you'd see our deals continue to be those kinds of deals. But we do have a diverse pipeline right now. You can never time when deals will occur. But both diversity across platforms and size, we're seeing both of those right now. So it's hard to predict when things would occur. We would certainly like to do more sizable transactions. So it's not that we won't -- we'll just be doing small bolt-on deals. You're right in your comment. These are probably -- the return on these are in the lower -- in a fewer years than maybe a larger scale more platform-like deal, but we think balance of that is good for us both short term and long term. 
Operator: We'll take our next question from Steven Winoker from Bernstein. 
Steven Winoker: I just wanted to start with the thinking behind the cadence of organic growth through the second half that we've already seen and into the rest of the year. That -- obviously, up almost 3% core was, I think, better than anticipated. And as you sort of had talked about fourth quarter, originally, you talked about the easier comps, you talked about a better setup in acceleration through the end of the year. What I'm hearing now is a little bit more stabilization at that level. Maybe give us a little color for the puts and takes around your thinking as you head through the rest of the year. 
Charles McLaughlin: Steve, this is Chuck. Really we're not seeing the second half all that much different than we thought of maybe 3 months ago. We've got 2 things going on here and posting what we consider as -- we're very happy with the core growth. We talked -- Jim talked in the call about-- taking some backlog down out of our EMC business, which is maybe a -- not accretive. We already had that in the second half and it just -- we got it in the third quarter. We saw some real strength in our portfolios across Western Europe and  -- where we had 4 out of our 6 of them really posted mid-single digits. We think we're taking share there. It's -- we really don't think that going forward that's really going to be that strong of an organic grower. So half of -- without those 2 things, we think that in the third quarter, we would have been around 1.5% core growth. And so therefore, when we look forward, we still see low single-digit, probably about the same, maybe a little better than we just printed in Q4 . 
Steven Winoker: It's really helpful. Another question on restructuring and the investments headed into the fourth quarter. So -- I mean, certainly, one of Danaher's practices historically was to only call out separate restructuring when it was very large and they absorbed restructuring every quarter. That was just part of the current business reporting. I assume that you're pursuing the same approach, and this is sort of an extraordinary amount of restructuring but you have a regular approach too. And also on that same point, Danaher seemed to time the restructuring spend very well relative to slack forward demand. So maybe just give us a little color on your thinking and incentive behind this special restructuring being called out. 
James Lico: Well, I think that -- Steve, it's Jim. A couple of things, maybe. First, I think what we tried to call out is both restructuring and growth investment. These are incremental to what we are already planning, as you mentioned. Our history here is to do maybe what we have called some quiet restructuring around businesses as we see fit. We think that with some of the overage in the quarter that we had, we were -- obviously, I think demonstrates the strong earnings potential we have when we get a little bit of core growth. And we made the decision, I think, to manage the business both for the long and short term, a little bit of incremental growth investment, to double down on a number of things that we think are really important. You heard about a couple of those on the call like Condition Monitoring at Fluke and then Gilbarco's EMV portfolio. So we are doing a little bit of that. Certainly, as Chuck mentioned, some of our markets are a little noisy, and so there are some product lines and businesses where things are not maybe as good as they need to be, and so we'll take the opportunity to do some things to make sure that those businesses continue to invest next year through taking some costs out. So a good balance of things. Because it's incremental to our prior guidance, we thought it was important to highlight it. But I think on balance, we're exceptionally excited about the quarter. And I think the degrees of freedom that we have in order to invest in the business is really the takeaway for everyone. 
Operator: We'll take our next question from Nigel Coe with Morgan Stanley. 
Nigel Coe: So did you -- and I'm sorry if I missed it. Did you quantify the mix between sort of cost reduction initiatives and growth initiatives in 4Q? 
Charles McLaughlin: We think it's likely to be evenly split between those 2 things and in the range of $0.04. 
Nigel Coe: Yes. Okay. That's sounds great. Makes kind of sense. And then you just mentioned that the core growth saw somewhat similar or maybe a little bit better than 3Q. The comp, obviously, plus 3% in 3Q '15, minus 3% in 4Q '15, so you've got easier comps. So would we expect maybe a slight kind of sequential deterioration? How do we think about that comp effect, I guess, is my question. 
James Lico: I think when we think about the Q4, we'll probably -- as Chuck mentioned, I think when you take into the backlog that we were able to -- that really was shipped in 3Q, you take -- we don't anticipate Western Europe to be as good as the third quarter. We -- it will probably be a little bit better against that 1% or 2% that we might have had when you take those out of 3Q. So I think we'll sequentially be a little better. But again, I think given the environment, it's -- I think we're cautiously optimistic. But against the backdrop of what we're seeing in other -- with other peers in other markets, we think it's appropriate to be cautious to make sure that given the external environment, we manage the business appropriately. 
Nigel Coe: Absolutely. And a quick one on tax rate, Chuck. 23 -- you said 28% going forward. Just to clarify, that 28% is for 4Q and 2017? 
Charles McLaughlin: So it's 28% in the fourth quarter and into 2017. What we've been able to do is accelerate some of the tax work that we were confident we were going to get done in 2017. And we're going to get and been able to bring that forward into 2016. 
Operator: We will take our next question from Jeffrey Sprague with Vertical Research. 
Jeffrey Sprague: Just on the M&A front. Jim, perhaps you don't want to talk about the 2 deals individually, but collectively. Can you give us a sense of the multiple paid and what you do think the return profile of those deals are? 
James Lico: Yes. I'd certainly give you a little bit more color on the deal. The 2 in the quarter were eMaint Enterprises for Fluke and GTT, which is within our Transportation Technologies platform. Both great businesses. Both directed towards secular trends with a good growth profile, but small. Those -- the multiples on revenue would probably be higher-than-normal given the smaller nature of the deal. They're probably closer in the 3x to 4x range on a revenue multiple. But I think the most important thing is around return. And given the nature of how these businesses are consistent with what we're trying to do within those platforms, the return profile is very good. It's certainly within the 10% in 3 years. So I think you'll, from time to time, probably see us pay a little bit more, pay up a little bit for growth here, kinds of things to the platform, but probably more than likely in many cases be smaller. And so -- and more adjacent, and so we can get to the return profile pretty quickly. 
Jeffrey Sprague: Right. And then on Tektronix, good to see a little bit of a turn there. Could you speak little bit more broadly about what's going on with new product launches and how that business might be setting up into the -- especially the early part of next year, but maybe all of 2017? 
James Lico: Yes. The -- we were very pleased in the quarter, given the -- while they were still -- while they still declined in the third, they were sequentially better than the -- from the second quarter. So that standpoint, we were pleased with performance. And as we noted -- as I noted in the highlighted remarks, the high-growth markets turned to growth. So I think that's a really good trend for us, and we think that probably continues. China continues to lead the way there. That's really a few years of spadework that we've done both on the product side and the go-to-market side to be prepared to take advantage opportunities there. So I think the team is executing very well there. The North American and Western European markets are still pretty noisy and many of those -- many of the vertical markets we play in are just outright slow. So I don't expect that to improve anytime soon. We've also got -- while we don't have a lot of business in the semiconductor industry in North America, you do see a lot of consolidation there. So I think on balance, we think the next couple of quarters continue to be rough. We think as we get into the -- maybe the back half of '17, we've got a new platform -- some new platform technologies and products coming out that we think can help us make a little bit more of our own luck. But at this point, in terms of just kind of -- we're not expecting any big macro tailwind to help us there. So I think on balance, we're trying to make our own luck and the team is executing well. 
Operator: We'll take our next question from Shannon O'Callaghan with UBS. 
Shannon O'Callaghan: Just on EMV. I mean, you talked about the indoor slowing and you talked about some of the growth being more kit-driven. Maybe just a little more color on that and how would you say things are tracking versus your expectations, better, worse or just different? 
James Lico: I think -- well, as we noted, we still are -- we are still getting indoor revenues. So maybe to be clear on that, it's just that, at this point, it's now starting to decelerate. And we're just starting to see the EMV product lines, if you will, EMV dispensers and kits start to sell now. I think as we look at the funnel, Chuck and I were with the team a couple of weeks ago for the strategic plan. I had an opportunity to grow through the funnels. And I think from that standpoint, the funnels look very good. We're starting to see some of the business transact. As we noted in the remarks, we did see more kits this quarter, and so I think it's not -- I wouldn't draw any trend into that yet. We'll continue to update you as we go through. We continue to believe that this is a $500 million incremental market opportunity for the players in the market. But it's still very early days, and while we like the progress we've made, I certainly think that trying to determine what that mix between kits and dispensers will be is probably a few more quarters here before we really see that. But we see -- we do see customer enthusiasm, and I still maintain that this thing is going to draw out well beyond the -- I think everything we've seen. We had the National Association of Convenience Store trade show last week and -- there -- and -- I think what we saw there was -- was customers there. We definitely heard that not everybody is going to go from -- during 2017. 
Shannon O'Callaghan: Right, okay. And then just in terms of the acquisition pipeline, I mean, it makes sense that your first couple would be in Fluke and Transportation. Is that still where the most kind of developed acquisition pipelines are or do some of these other platforms have things that are visible now? 
Charles McLaughlin: Shannon, this is Chuck. We're -- as Jim was saying earlier, we really like the funnel, but it's not focused in any one business. I think the only things you can really read about these 2 acquisitions is it's not really where -- it's just where the first 2 happened to be. I think when you look at our first 5 to 10, you're going to see there's a spread in where they go across our businesses and also in size and scale. 
Operator: We'll take our next question from Andrew Obin with Bank of America. 
Andrew Obin: Just a follow-up question on EMV. You sort of noted that you see indoor EMV deceleration. So what's the adoption rate that you can estimate at which it started to decelerate significantly? 
James Lico: I think most of -- so we don't see -- in the point-of-sale business, we don't see all the markets. So we have to sometimes take some of the other -- we have to combine sort of with all the other industry players. We have a little bit better view of payment on the outdoor because we sell a dispenser in that market. But on the -- we think probably we're in the 70% range probably right now. I think that's what prognosticators are probably at. And quite frankly, I don't -- we don't think it'll get to 100%. So the tail-off probably now is -- I don't think we can estimate when we get to -- when the next 10 points come. But certainly, the slowing rate right now means that we're starting to see probably relatively close to saturation. 
Andrew Obin: And just a broader question, just going back to your commentary about macro just being soft. During the Analyst Day in the summer, you thought you could sort of hit those rate of GDP, GDP+ growth, given the overall weakness in the industrial market. And, I guess, 4Q, you do have easy comps. Do you think it's still a reasonable expectation into next year? 
James Lico: Yes, I do. I think when you look kind of where we've been, we think we're in the range of GDP. And certainly with -- we're not completely tied to that because we're tied to some good secular trends like what we've got going at Gilbarco. But also -- with EMV. But also at Qualitrol where condition monitoring becomes a real important thing for utilities around the world. So I think you see the acquisitions that we have this quarter as well, trying to tie to things that even in a tougher industrial environment are going to resonate with customers who are trying for better productivity and safety in their operations. So we think that's still achievable. And as I think we mentioned, over time, as we get the M&A cycle moving a little bit to accelerate core growth within the platforms, GDP+ is probably achievable as well. 
Operator: We'll take our next question from Julian Mitchell with Crédit Suisse. 
Lee Sandquist: This is Lee Sandquist on for Julian Mitchell. After a very strong Q3 margin expansion, how do you think about the potential going into Q4, keeping in mind that longer-term 30 to 50 bps of core operating margin expansion target? 
Charles McLaughlin: I think with -- Lee, thanks for joining. I think -- this is Chuck. Looking forward, that 30 to 50 bps is -- we feel very good about that. I think that will continue to show margin expansion, especially when you look over multiple quarters. But we are -- we obviously overshot the mark this quarter. It's going to be like that. Sometimes, it's a little stronger, a little less. But when you look forward over 3 or 4 quarters, I think you're going to see 30 to 50 bps as exactly where we think we should be. 
Lee Sandquist: It makes sense. And then in terms of organic growth, it sounded like that picked up throughout the quarter and towards the end of the quarter. Which businesses saw the biggest progression throughout that period? 
Charles McLaughlin: I don't know that it actually picked up. I think by my month, it is actually pretty stable, although I would say we had probably a big September last year and we have some strength here. But I think the PacSci EMC business is -- was an area where we got some big order out the door, and then we saw the Western Europe, as we noted. We're probably in some areas of strength that maybe we didn't see it at the beginning of the quarter. 
James Lico: Lee, maybe I'll just add. As we said before, we did -- I think what we said in the earnings call in August was things were pretty stable, but September was a big month. And so I think that's what we really always see is September is always a big month. It's hard to make a macro read in August until you see September play out. We were very pleased to see how September played. As I mentioned -- and I think Chuck is exactly right in his comments around what we saw. So I think if we were just sort of -- we think -- we're not calling any macro tailwind here at any point in time. We saw stability through the quarter. We saw a little bit of stability at the end of the second quarter. So a few quarters in a row of stability is sort of -- is our sort of base plan of how we think about things right now. 
Operator: We'll take our next question from Richard Eastman with Robert W. Baird. 
Richard Eastman: A quick question. Can I just broaden out? There's been a number of questions around the Professional Instrumentation segment of the business. And again, we've got an easier compare in the third -- in the fourth quarter, which you kind of addressed. But as you get into -- that being the more cyclical piece of the business. When you get into '17, I mean, is this -- which pieces of the business here -- could drive PI to a core growth rate of GDP? 
James Lico: Well, I think for sure, we'd start with field solutions. I think as I mentioned in the prepared remarks, Qualitrol, while not the biggest business in Professional Instrumentation, but 10 consecutive quarters of core growth and several of their new offerings, I think, will continue to drive growth there. We think that what we're doing with Fluke Connect and connected devices and the combination with eMaint will also be something that can create a little bit of our own luck as well. So I think those are 2 places. I already mentioned a little bit about Tek in the second half. Our sensors businesses should start to come back to growth. As I mentioned in the prepared remarks, some good business with the Navy. There's a number of other situations that we think play out that could potentially give us a little better performance here going forward. So obviously, we haven't given 2017 update yet, but that's where we're sort of -- Chuck and I will go into the budget here shortly, we'll sit with all of our businesses here in our sort of budget season and we'll have a better sense of kind of how they're thinking about the lay of the quarter as they lay in a number of their growth initiatives. 
Richard Eastman: Okay. And then when I look at the core op profit in each of the -- in each of PI and IT, in the PI segment, it was plus 110 bps; and in IT, it was up 230, the core. And is that, Chuck -- maybe this question is directed at Chuck. But is that mix in both of these segments or were there some cost takeout pre-split? Or how do we think about the magnitude of the core increases in op profit? 
James Lico: Well, I think first thing, it starts with FBS, and everything we do across all the portfolios, including price, that helps But it's not just price. It's -- we're continuing -- our procurement teams do a wonderful job of finding ways in leveraging our scale in what we do. So that's the #1 bar on the Pareto chart. I think that when you look at Industrial Technologies, it's a little easier to see with the core growth that we're seeing there. But relatively, just in the positive territory, this is a good -- it's not a big tailwind from any cost takeout, it's really the deployment of FBS. 
Richard Eastman: Okay. And just last question. On GTT, again, just kind of searching around a little bit for that business and maybe trying to size it. Given their technology, it seems like a fairly small revenue business, given how that technology can apply to so many markets. Is that kind of safety market -- telematics safety market, if you will? Is that quite fragmented? I mean, why is that company not bigger relative to the benefits that their technology kind of bring to the marketplace? 
James Lico: Well, I think first, they're mostly a U.S.-based business, so I think that's first and foremost. They are business not of huge scale. I think one of the things we always bring to the party on these small bolt-on deals is the ability to scale the business. And I think entrepreneurs and folks around the world always look for us to be a scaler of their business. And so that's certainly true with both the deals in the quarter. So I think that it starts with that. And as we mentioned, these businesses are under $50 million in revenue. So we think they're great businesses. We can scale them. In the case of GTT, they really are helping municipalities. If you think about it quickly, they helped -- they started with the business that helped firetrucks, and other first responders changed the signal in order to go through streets. But they moved into urbanization through a number of things with municipal buses and things like that. So they're really very much in the forefront of helping traffic move through cities, and as you can imagine, a pretty big problem, not just in Seattle where we live, but everywhere around the world. So an opportunity to globalize the business, for sure. 
Operator: We'll take our next question from Andrew Kaplowitz from Citigroup. 
Andrew Kaplowitz: Chuck, you mentioned 40 bps of price in PI. Maybe you can talk about what price versus cost looks like moving forward in both segments. You mentioned that was a decent contribution to the improvement in margin with PI, but maybe you can talk about broad base for the company. Is 40 bps kind of what we could see here or could that get worse a little bit if steel comes up again? How do we look at it? 
Charles McLaughlin: Well, I think that your date, and for the year, we think we're going to average 50 basis points. So I don't think that 40 is really out of line at all, and it's pretty much what we saw -- we've seen the last couple of years. So I do think that price is something that we've -- with our strong positions. And you look at our gross margins and -- that we've been able to get. Versus cost takeout in terms of material cost takeout is I think what we're talking about here, that's a pretty -- that's a big lever as well, maybe even bigger than price. Price sometimes -- we talk about it more, but there's -- our procurement teams do a great job of taking out 2% to 3% annually, and that's just a huge tailwind for us. 
Andrew Kaplowitz: Okay. And then, Jim, China, double-digit growth in China, it seems particularly strong. I think it's even better than it's been. Can you talk about where you've seen the incremental strength? I know you mentioned Tektronix improving, but is it broad-based across the company that you're seeing more strength in China? How much of it is the market versus sort of the own self-help that you're working on? 
James Lico: Well, yes, thanks, Andrew. I think China, as I mentioned -- just to go finish the Tek thought, for sure, Tek is doing a good job, and they've had several quarters in a row of good performance in China. I think it goes back to last year. So I think that they're certainly tapping into several trends on investment and doing an exceptional job there of, I think, doing better even than the market. I think if you look more broad-based, and we do have pretty good broad-based growth, we're seeing growth in our automation businesses and even -- while our sensor businesses are not growing overall, they're growing in China. So -- and then Fluke continues to do well. So it actually is fairly broad-based, but I do think that this really is part of -- part of our success has to do with the fact that we've been in China for a long time. Our businesses have continued to look for new areas of growth. We have a lot of capability over there in terms of manufacturing, engineering, so your product design for the market. And I'd like to think that part of our performance is the fact that we were very much tapping into a number of the drivers that go on in China as a Chinese company would because of our long-term establishment of being over there for quite a long time. 
Operator: We'll take our next question from Steve Tusa with JPMorgan. 
C. Stephen Tusa: So I just want to -- just to make it clear, the fourth quarter organic, 1.5% to 2%, I mean, is that kind of what you're saying or is it kind of firmly in that 2% range? 
Charles McLaughlin: No, it's firmly. I think what we're saying is -- for the fourth quarter is better than what we printed then just in the third quarter but still low single digit. 
C. Stephen Tusa: Okay. Better than what you printed, like the 2.7% that you printed [indiscernible]. 
Charles McLaughlin: Yes, so 2.5% to 3% core. 
C. Stephen Tusa: Okay. Got it. Sorry. I know there's going to be some questions about that tomorrow. And then just to be clear on this EMV stuff. So how much of the growth from the high single-digit growth at GVR or Transportation Tech, however you want to talk about it, is coming from EMV? And then you talked about it decelerating in the fourth quarter. What is the kind of step-down in that growth rate for the fourth quarter? I would assume that it's all related to EMV. And is there any risk that at any time in the next several quarters there's kind of a tough comp that would create a negative result at GVR? 
James Lico: So, Steve, first, let me apologize. Let me make sure that I'm clear. We do not see a step-down at all at Gilbarco in the fourth quarter. We will see continued strong performance. And we don't -- while no one has a crystal ball, certainly, the -- I think it's 5 consecutive quarters of growth there, a very good growth. We see that continuing for many -- for as long as we can see out there right now. So there will be no deceleration at Gilbarco in the fourth. I just want to make sure that's clear. What I was trying to say is that the point-of-sale part of EMV will start to decelerate, and the outdoor side of EMV is accelerating. So that's kind of the plus and the minus. Just to characterize that, that -- the outdoor opportunity is much bigger than the indoor because, as you can imagine, there's only 1 or 2 payment devices inside the store. But there might be as many -- 10 dispensers on the outdoor. So the opportunity is much bigger. And so -- and we're just starting to see that. So we'll see good performance in the fourth quarter at Gilbarco against a good -- against a tough comp. So we feel very strongly. To your question about where the growth there is coming from, certainly, the U.S. is driving a good chunk of their growth, but they're still growing. And so Gilbarco -- I mentioned the share gains they've been having in Europe, particularly with a major oil retailer in Italy. But a number of share gains across a number of big customers in Europe and around in many of the high-growth markets. So not every high-growth market is growing for them. Latin America has been a challenge. A couple other markets have been challenges. They've had good growth in the Middle East. So I think that's where they stand. And we continue to see -- EMV will be a driver of their performance, but it won't be the only place where they perform. 
C. Stephen Tusa: Okay. That's great clarity. I mean, you guys were kind -- it sounded like you were talking it down a little more. So that's... 
James Lico: Yes, I apologize for that. 
C. Stephen Tusa: No, not at all. That's why I asked the question. Great clarity on that. The $200 million or the acquisitions you've done year-to-date, just remind us how -- will they add -- how much will they add to earnings next year? Kind of what's the 2017 accretion from what you've just booked mathematically? 
Charles McLaughlin: Yes, Steve, this is Chuck. The -- we're not expecting a big accretion. They're not -- certainly not dilutive, but they're going to really hit hard in years 2 and 3. 
Operator: We'll take our next question from Brian Drab with William Blair. 
Brian Drab: First question, just on the margin. You have this nice 150 bps of expansion -- core expansion in the third quarter. It sounded like there was some timing involved in that, I think you said, given that some of the revenues booked close to the end of the quarter had some favorable drop-through. Does that -- and I also have the guide in front of me now. So I'm just trying to triangulate in on. So does this mean that gross margin and/or operating margin is down a touch sequentially into the fourth quarter? 
Charles McLaughlin: No, I wouldn't say that gross margins had come down sequentially at all in Q4. So no, I wouldn't say that. I think that from a -- what we're saying -- trying to say is some of the revenue in the fourth quarter, mostly, the PacSci EMC stuff, may be moved into the third quarter. But that's all we were trying to signal there. 
Brian Drab: Okay. And then on GTT, this is interesting because it's within your highest growth subsegment, I guess, within the telematics, high single-digit core growth. Can you talk about what this does to the $3 billion approximate TAM that you have in that subsegment? How large is the TAM for GTT? And what has the growth rate been at GTT? And what would you expect it to be going forward? 
James Lico: We think the market is at least a mid-single-digit grower. I have to think about it, but I think we're -- I think the available market there is maybe $0.25 billion or something like that for their specific segments. I think the broader thing that we have the opportunity to do, as we mentioned, is we moved from just retail petroleum to the more telematics revenue as well as new things around smart transportation. We do have an opportunity to add a bigger available market to the platform over time. So this is a good start but not -- certainly maybe, we've evolved the platform with telematics a few years ago, we've evolved it again with GTT and we'll continue to evolve it over time. 
Operator: We'll take our next question from Joe Giordano with Cowen. 
Joseph Giordano: I wanted to talk a little bit about commercial markets. There's been some talk about some of those markets getting a little bit weaker, and I was wondering what you're seeing there, maybe from some takeaways from Fluke. 
James Lico: Well, I think we don't have -- in the sense of commercial sort of retail, we don't have a lot of exposure to that. And I -- but I would say mostly -- I'm just thinking as I'm talking. I think on balance probably, stable would be the best way to think about it for us. When we think about the whole construction industry in that respect, residential is a very small part of our business. Facilities maintenance, a big part of our business. Commercial construction, kind of not a real big piece either. So I think when we look at those -- the segments, when we really think about Fluke, it's mostly facilities maintenance, so in many cases, it's the buildings that are already built, if you will. 
Joseph Giordano: Okay, fair enough. And then the strength at Qualitrol, can you maybe dig into that a little bit? Like what -- anything specific you'd call out as to what's driving that versus like a generally more weak power market? 
James Lico: Yes. We -- well, we sell to utilities -- and generally, we -- our value proposition, if you will, is to be OEM-agnostic, meaning that when utilities have a multiple OEM equipment -- specialty transformers, we're going to be the OEM-agnostic condition monitoring system that goes in. So utilities are trying to get -- in the developed world, you've got the growth around the aging infrastructure and utilities needing to make sure that the equipment they have today is working. And in -- obviously, in high-growth markets, you've got the opportunity of expanded infrastructure. So those are really the drivers. They're doing a wonderful job of really growing the business, very global business. They did some changes to their go-to-market strategy this year that are -- have some good results as well. So it's not just market, but also, they're making a lot of their own -- luck through some implementation of some good FBS tools. 
Joseph Giordano: When you talk about that in the emerging -- in like -- places like China when they talk about the capacity -- newbuild capacity slowing, and I'm sure that -- I'm guessing that, that business is more of like a new capacity addition in those kind of markets, how are you seeing that there? 
James Lico: I think in -- well, first, I would say I was in the Middle East. Obviously, you asked a China question, but I was in the Middle East with them a couple of weeks ago, and they've got good growth in the Middle East, even against a tough Middle East comp. But China, they are seeing growth. They're doing well there. Again, while you continue to see maybe some of the big power plants, they're not really tied to the power plant construction as much as they are tied to the infrastructure in terms of getting power to cities. So in that respect, we're seeing growth. I think for the year, they've grown very well. 
Operator: And we'll take our last question from Patrick Newton with Stifel. 
Patrick Newton: I guess, first, a clarification on EMV. I believe in an earlier answer, you said that you're seeing it draw out a little bit longer. So should we think of 100 bps of organic growth related to EMV in 2017 as maybe being a little bit slower? And then just with commentary on kits outweighing dispenser demand at this point, should we think about, all else equal, a little bit lower revenue contribution but a higher margin? 
James Lico: I don't -- Patrick, thanks for the question. I don't think we'll call what the growth will be for 2017 just yet. Relative to the time frame, we still stand by sort of a 5-year time frame, with probably 4 years left. Maybe we'll probably put this year into that 5 years. I think that's what we said. We've been consistent around that. And we think in 2020-ish kind of time frame, it will continue to play out. So that's how we see it. As I mentioned -- relative to growth for next year, we're still looking at funnels. We're still -- we're obviously still closing business. So we'll really have a better sense of how much growth that will add to the portfolio. But 100 bps to Fortive was -- is our base case of what we've been talking about. There's nothing to suggest to us, at least at this point, that, that wouldn't be true. And then finally, on the kits versus dispensers, certainly more kits in the quarter. Our $500 million market sizing over the next several years sort of takes into account a kit versus dispenser model. And nothing in the quarter would necessarily put us off anything material off that model. 
Patrick Newton: Great. And just one more, if I may. Jim, just a big picture question. You clearly have an increased focus on software. That was a highlight at your Analyst Day, and you've touched on this somewhat in your remarks today. But could you highlight some progress in the quarter across the entire Fortive portfolio and maybe help us understand the software contribution to overall Fortive revenue? 
James Lico: Yes. I'd maybe take the last question first. It's still a small part of our revenue, but it's an important part of our revenue. I think it's an important part of our story strategically. Chuck and I just finished all the strategic plans with our businesses. And clearly, software is finding its way into the strategy and the value proposition of our customers across the portfolio. In terms of highlight, we certainly talked about it with Fluke Connect and the launch of their condition monitoring solution, which gives them a SaaS-based solution that they're selling today. We combine that with eMaint. We now have some revenue of SaaS-based. We start now with a SaaS-based revenue base at Fluke, and we'll move from there. It probably won't be material for a couple of years, but the growth rate will be exceptional. Insite360, which is our offering at Gilbarco Veeder-Root, is doing exceptionally well. We've talked about our telematics business. A little bit less revenue growth in telematics this quarter but a very good subscriptions. And with almost 0.5 million users of telematics solutions around the world, with all -- with a SaaS-based revenue solution, I think we're in very good position to grow the business. But as I mentioned over time, that really means that it will have a material impact in several years. We'll continue to invest like we did with eMaint when we find opportunities to accelerate our positions. I think that's what the wonderful part of our ability to deploy capital is, is Fluke had a computerized maintenance management software addition to their software portfolio, and we accelerated that strategy by 4 years with the addition of eMaint. So I just think that's exactly what we're going to do around the portfolio and a real opportunity to add a SaaS-based revenue to the portfolio over time. Thanks, Patrick. Great to talk to you.
 And thanks, everybody, for joining us. We really appreciate your time this evening, most of you on the East Coast. Have a great evening, and we'll look forward to catching up with you. And I'll give it back to Lisa. 
Lisa Curran: All right. Thank you. Thank you, David. That's it for the call. 
Operator: Thank you. This does conclude today's program. Thank all of you for your participation. And you may disconnect at any time.